Breeka: Good morning, and thank you for attending the Insteel Industries Fourth Quarter 2025 Earnings Call. My name is Breeka, and I will be your moderator for today. All lines will be muted during the presentation portion of the call, with an opportunity for questions and answers at the end. I would now like to pass the conference over to your host, Mr. Howard Osler Woltz, Chairman, President, and Chief Executive Officer at Insteel Industries. Thank you. You may proceed.
Howard Osler Woltz: Thank you, Breeka. Thank you for your interest in Insteel, and welcome to our Fourth Quarter 2025 conference call, which will be conducted by Scot R. Jafroodi, our Vice President, CFO, and Treasurer. Before we begin, let me remind you that some of the comments made in our presentation are considered to be forward-looking statements that are subject to various risks and uncertainties, which could cause actual results to differ materially from those projected. These risk factors are described in our periodic filings with the SEC. The upturn in business activity that we previously continued during our fourth quarter and our fiscal 2025 acquisitions performed well. While our ability to forecast future activity is limited, we see no evidence of a broad-based slowdown in our markets, although housing continues to lag significantly, as it has all year. While the ongoing recovery of our markets is real, we are aware of uncertainties created by the administration's trade policies and from the economic cycle. I'll turn the call over to Scot to discuss our financial results. And following Scot's comments, I'll pick the call back up to discuss our business outlook.
Scot R. Jafroodi: Thank you, Howard, and good morning to everyone joining us today. As noted in this morning's press release, we delivered a strong fourth quarter performance supported by higher shipment volumes and a continued recovery in spreads between selling prices and raw material costs. Our net earnings rose to $14.6 million or 74¢ per diluted share compared to $4.7 million or $0.24 per share during the same period last year. Quarterly shipments increased 9.8% year over year, driven by contributions from our recent acquisitions and stronger demand across nonresidential construction markets. On a sequential basis, shipments declined 5.8% from the third quarter. Supply constraints for steel wire rod, which we discussed during our third quarter call, eased gradually during the quarter, allowing us to better align production with customer demand and begin reducing lead times as we close out the quarter. That said, residential construction continues to be a headwind for volumes, with activity levels remaining subdued and has yet to show any meaningful signs of recovery. Average selling prices for the quarter rose 20.3% year over year and 4.7% sequentially from Q3, reflecting continued pricing momentum we discussed on our prior calls. The US steel wire rod markets have remained tight through much of 2025, and the increase in Section 232 tariffs has added further upward pressure on raw material costs. As a result, wire rod prices have moved meaningfully higher since the start of the year. In response, we have implemented a series of price increases throughout fiscal 2025, including further adjustments at the beginning of the fourth quarter to help offset these higher costs and support our margins. Gross profit for the quarter rose $16.3 million year over year to $28.6 million, with gross margin improving by 700 basis points to 16.1%. The increase was largely attributed to wider spreads as higher average selling prices more than offset the rise of raw material costs. As we discussed on previous calls, our results typically benefit during periods of strong demand and increasing steel rod prices, both from the timely execution of price adjustments to recover higher replacement costs and from the flow-through effect of lower-cost inventory under our first-in, first-out accounting method. On a sequential basis, gross profit fell $2.2 million from the third quarter, and gross margin narrowed 100 basis points, reflecting lower shipment and a slight decline in spreads. SG&A expense for the quarter increased to $9.7 million or 5.5% of net sales compared to $7.5 million or 5.6% of net sales in the prior year period. The year-over-year increase was driven primarily by a $1.3 million rise in compensation expense under our return on capital base incentive plan, reflecting stronger financial performance in the current year. We also recorded an additional $300,000 in amortization expense related to intangible assets from our recent acquisitions, along with a $200,000 unfavorable year-over-year swing in the cash surrender value of life insurance policies. Our effective tax rate for the fourth quarter was 24.4%, up from 23% in the same period last year. The increase was mainly driven by changes in both tax differences and the true-up of state apportionment percentages. For the full year, our effective tax rate was 23.8%. Looking into next year, we expect our effective rate will run around 23.5%, subject to the level of pretax earnings and other tax-related assumptions and estimates that compose our tax provision calculation. Turning to the cash flow statement and balance sheet, cash flow from operations used $17 million in the quarter compared to providing $16.2 million last year. Net working capital used $37.4 million in cash in the fourth quarter, primarily reflecting an $18.6 million increase in inventories and a $23.4 million decrease in accounts payable and accrued expenses. The increase in inventories was driven by the timing of raw material purchases and an increase in the average carrying value of inventory. The reduction in accounts payable and accrued expenses primarily reflects the timing of supplier payments. At the end of the quarter, our inventory position represented 3.5 months of shipments on a forward-looking basis, calculated off of our forecasted Q1 shipments, compared with 2.7 months at the end of the third quarter. As you may recall, inventories had fallen below desired levels in Q3 due to stronger shipment activity and limited wire rod availability from domestic suppliers. To address this, we supplemented supply in Q4 with offshore rod purchases, which allowed us to increase production and rebuild inventories. Looking ahead, we expect inventory to rise in the near term as additional import shipments are received before gradually normalizing as raw material volumes moderate in the coming months. Additionally, it's worth noting that our inventories at the end of the fourth quarter were at an average unit cost that was both higher than our beginning inventory balance and our Q4 cost of sales. As such, we could experience margin compression during the first quarter as the higher-cost materials are consumed, depending on our ability to push through additional price increases. We incurred $1.7 million in capital expenditures in the fourth quarter for a total of $8.2 million for the year, which is down $10.9 million from last year. Looking ahead to fiscal 2026, we expect capital expenditures to total $20 million. Howard will provide more detail on this topic in his remarks. In addition to our ongoing investments in the business, our financial strength has enabled us to continue returning capital to shareholders. In fiscal 2025, we returned $24 million through a combination of dividends and share repurchases. This included a $1 per share special cash dividend and four regular quarterly dividends, marking the eighth year out of the last ten that we have paid a special dividend. We also repurchased approximately 76,000 shares of our common stock during fiscal 2025, representing $2.3 million under our share buyback program. From a liquidity perspective, we ended the quarter with $38.6 million in cash on hand, and we are debt-free with no borrowings outstanding on our $100 million revolving credit facility. Going forward, our capital deployment strategy will remain focused on three objectives: one, reinvesting in the business to drive growth and to improve our cost and productivity; two, maintaining the appropriate financial strength and flexibility; and three, returning capital to shareholders in a disciplined manner. Looking at the broader economic picture as we enter fiscal 2026, conditions remain mixed. Raw material availability has improved, and demand across most nonresidential markets is generally strong, but residential construction continues to lag. At the same time, macroeconomic uncertainty remains. While potential rate cuts from the Federal Reserve could provide some support, we are approaching the year cautiously. On the demand side, we continue to monitor leading measures of nonresidential construction activity. In August, the Architectural Billing Index rose slightly to 47.2 from 46.2 in July, but remained below the 50 threshold signaling growth. Although fewer architectural firms reported declining billings compared to the prior month, the overall trend continues to point downward. Meanwhile, the Dodge Momentum Index showed continued strength and a healthy power project pipeline, rising 3.4% in September and now up 33% year to date, driven by strong commercial construction planning activity, particularly in data center development. In contrast, U.S. housing starts, another proxy for construction activity, declined 2.2% year over year in June and are down 5.3% year to date, reflecting some underlying softness in the sector. Finally, the most recent available construction spending data from the U.S. Department of Commerce shows that through July, total spending on a seasonally adjusted basis was down about 3% from last year. Nonresidential construction held relatively steady. Public highway and street construction, one of our major end markets, was essentially flat compared to a year ago. Even with the mixed demand backdrop, we are entering fiscal 2026 with solid momentum. Actions we took during the past year, including completing two acquisitions, consolidating our Welded Wire operations, and maintaining pricing discipline, have strengthened our position and improved our ability to adapt to changing market conditions. While we remain mindful of broader economic uncertainty, our focus on serving customers and executing on our key priorities gives us confidence in our ability to manage near-term challenges and continue building long-term value for our shareholders. This concludes my prepared remarks. I'll now turn the call back over to Howard.
Howard Osler Woltz: We noted a substantial acceleration of demand for concrete reinforcing products early in fiscal 2025 and commented that we expected the demand recovery to continue through the fiscal year. We are glad to confirm that the positive trend continued through our fourth fiscal quarter, giving us confidence that we should perform well for the balance of the calendar year. The accelerated pace of business we experienced over the past few months is not reflected in the broader macroeconomic indicators that are generally used to measure the strength of the construction industry, but the demand recovery is nonetheless real. The confidence level of most customers and interactions our salespeople have with customers leads us to believe business conditions should remain reasonably robust into calendar 2026. As most of the people on this call are aware, housing is not a major driver of demand for Insteel. We estimate that about 15% of our revenues are derived directly from housing construction, with standard welded wire reinforcement and PC strand intended for slab-on-grade post-tension applications being the product lines most affected by the sector. Demand for new housing continues to be weak, and inventory of both materials and finished housing units are too high. With respect to finished housing units, we hear from customers that builders are experiencing the affordability problem created by higher material prices and interest rates that we've all read about, and that they are de-risking their businesses by reducing inventories. We hear that this process, which has been underway for quite a while, may run its course by the first of the year, when volume begins to recover to more normal levels. Over the past several months, we have spent substantial time and resources understanding the administration's tariff plan. As with any conversation about tariffs, we can speak about what we know now, which may or may not be true tomorrow. But as of now, we are affected by tariffs in two ways. First, the most significant tariff exposure we have is the Section 232 tariff on steel and aluminum, which is 50% of the value on all raw material imports purchased by Insteel. As a point of interest, the 50% Section 232 tariff also is applied to imports of PC strand under the derivative products provision. The Section 232 tariff has caused domestic steel prices to rise to levels that reflect the 50% tariff on imports, and predictably, imports have declined precipitously. This is particularly notable in the hot-rolled wire rod segment of the steel industry, as it has been recently undersupplied domestically, making imports necessary for Insteel and other consumers. The increase in our net working capital for Q4 is largely attributable to imports from wire rod that were delivered during Q4, and additional quantities will be delivered in Q1 2026. These purchases were made because domestic sources could not or would not provide assurances that our needs will be covered at prices that are competitive after giving effect to the Section 232 tariff. You may recall last quarter, we expressed concern that the administration's proclamation doubling the Section 232 tariff to 50% may have diluted the effect of the tariff with respect to imports of PC strand. Up to this point, we do not believe this has occurred, although we are requesting that the administration clarifies its expectation that the tariff is to be applied to the full value of imported PC strand. Because Department of Commerce statistics are offline during the government shutdown, we are unable to monitor the collection of tariffs applied to PC strand imports, but we will be active again as soon as services are restored. The second way we are affected by the administration's tariff policy is through our purchases of any imported goods that are subject to reciprocal tariffs in addition to Section 232 tariffs on steel and aluminum. Practically, all of our production equipment is imported, and purchases of spare parts, which are not discretionary, are subject to Section 232 and reciprocal tariffs. Administration of the tariff regime largely falls on our suppliers, who must sort through the exposure to Section 232 and reciprocal tariffs for each part shipped to the U.S. I want to reiterate that only about 10% of Insteel's revenue base is directly affected by imports and therefore potentially subject to unintended consequences of the administration's tariff policy. This is not coincidental, as we've recognized the futility of competing in markets where imports constitute a major source of competition. Moving to acquisition activity, we continue to be pleased with the operation and results of our Upper Sandusky, Ohio facility that was acquired during Q1. Our Texas acquisition, while considerably smaller, has also yielded the expected benefits. While improvements are ongoing, we consider the integration of these operations to be complete and successful. Turning to CapEx, as mentioned in the release, we expect to invest approximately $20 million in our plants and information systems infrastructure during 2026. You can expect our investments to broaden our product offering, reduce our cash production cost, and enhance the robust nature of our information systems. Consistent with past practice, we will provide quarterly updates on our investment activities and expectations as the year progresses. Looking ahead, we are aware of the substantial risk related to the administration's tariff policies and the future performance of the U.S. economy. Regardless of developments in these areas, we are well-positioned to pursue actions to maximize shipments, optimize our costs, and pursue attractive growth opportunities both organic and through acquisition. This concludes our prepared remarks, and we'll now take your questions. Breeka, would you please explain the procedure for asking questions?
Breeka: Of course. We will now begin the question and answer session. If you would like to ask a question, please press star followed by the number one. If for any reason you would like to remove that question, please press star followed by the number two. Please press star then the number one. And as a reminder, if you are using a speakerphone, please remember to pick up your handset before asking a question. The first question we have comes from Julio Alberto Romero with Sidoti and Company. Your line is open.
Julio Alberto Romero: Thanks. Hey, good morning, Howard, Scot.
Scot R. Jafroodi: Good morning.
Julio Alberto Romero: I want to start on demand. It sounds like the confidence level of customers continues to be positive. And then last quarter, you mentioned your view that data center construction and infrastructure projects were kind of filling the gap from commercial and residential. Does that still stand the same today? And is there any incremental kind of data points or anecdotal points that have materialized since the last quarter that can better support that view?
Howard Osler Woltz: Well, I think it continues to be the fact that the data center construction is filling a hole that has existed in other markets. But consistent with what we've said for many quarters, our view is not several months long. It's only several weeks long. So we see the activity out there. We think it will continue, but our lead times remain compressed just by the nature of the industry.
Julio Alberto Romero: Okay. Got it. That's helpful. And, on the raw material front, it sounds like you ended the quarter with 3.5 months of shipments of inventory. How would you describe the current supply of raw material? Would you describe it as normalized at this point? Or is there still improvement to come?
Howard Osler Woltz: I mean, the first thing we want to do, Julio, is operate our plants effectively. And during our fourth quarter, particularly at the beginning of our fourth quarter, we were unable to do that because of supply constraints. So the quantities that we imported, we imported for a distinct reason, for distinct applications, and at plants that were deficient in domestic supply. And so we're not surprised at all about where we stand, and we're not disappointed about where we stand, that we have what we need, and the import market has changed some. Whereas we used to be able to buy 3,000 or 4,000 tons at a time, those quantities have moved up just based on the origin and shipping costs that are associated with imports. So all things considered, we're exactly where we thought we would be.
Julio Alberto Romero: Okay. Got it. And with a year under your belt for the Engineered Wire Products deal, I believe, this month. Any way you could have us think about the year one contribution from EWP? It's on, you know, an earnings or margin or mixed basis? And then, secondly, Howard, as you've mentioned in the past that acquisitions are made not really for year one, but with the longer term in mind, do you feel like the true synergies from EWP are still to come?
Howard Osler Woltz: Well, we can't really calculate the exact impact of EWP at the Upper Sandusky site itself because a considerable amount of the output of Upper Sandusky has been moved to other Insteel production facilities that are better located to customers and suppliers than Upper Sandusky. With that said, the financial performance of Upper Sandusky has been solid, and exactly where we thought it would be. It has a very attractive product mix. It's a very effective manufacturer. And we're pleased as punch with that transaction.
Julio Alberto Romero: Very helpful. Last one, and I'll pass it on after this is, you mentioned residential still remains soft. And I think historically you've described it as comprising around the 15% of sales range. But you've acquired EWP, and, you know, it's obviously made up less of a portion of sales. I guess just if you could give us a sense of where that stands as a percentage of your mix.
Howard Osler Woltz: Yeah. Keep in mind that it's really difficult for us to pinpoint the exact end markets that our products go into. And if you'll look back at my comment a few minutes ago, I referred to the direct impact of housing on our business. The indirect impact is infrastructure that goes into housing developments, streets, and, you know, sanitary sewers and storm sewers. And so when our customers ship a joint of concrete pipe or a box culvert out, they don't necessarily know exactly what that application is. And if it goes into infrastructure in a development, you know, the way that we look at it, it's not a direct housing application. It's more of an infrastructure application. It's really difficult to pinpoint the end use.
Julio Alberto Romero: Very good. I'll leave it there. Thanks very much.
Howard Osler Woltz: Thank you.
Breeka: Just as a quick reminder, it's star followed by one if you would like to register for a question. And we now have a question from Tyson Lee Bauer with KC Capital. Please go ahead.
Tyson Lee Bauer: Good morning, Good morning. Just going to follow-up on that last question. In general, with your comments on demand for '26, and obviously, that's for fiscal 2026, it sounds like you're not baking in any real meaningful recovery in residential. You're treating that as something that is a wait-and-see portion of your end markets. You're looking at strength and demand in other areas in the nonresidential really being the lead dog here. And residential, you're just going to wait until you actually see some evidence of any kind of recovery.
Howard Osler Woltz: Yeah. I mean, I think nonresidential is always the lead dog for Insteel. And we know if our customers tell us about residential demand and applications. And I think there's some thought that the inventory issue will have run their course through the end of the calendar year. And therefore, we should see improved residential demand. But as we've said on multiple occasions, we really don't see out very far. So yeah, we're not banking on a huge housing recovery in 2026.
Tyson Lee Bauer: Right. Okay. In regards to the inventory carry strategy, given the current environment and domestic supply issues, should we continue to see a heavier carry or elevated levels in that inventory? And if so, will that then increase the variability of your margins given the FIFO accounting, we could see some more quarter-to-quarter variability.
Howard Osler Woltz: I think through our second quarter, inventories will be somewhat elevated relative to where they might be if we were acquiring raw materials domestically to a larger extent. But probably no higher than they are now. And here's the other thing about imports. Of course, we acquired offshore products at a known cost. Nobody knows what the cost domestically is going to be. So I think there is a benefit from just a pricing point of view of knowing what the price is going to be in those out months. So all things considered, we're not at all displeased with where we are or where we think we're going to be with respect to our sourcing activities and the cost for our raw materials.
Tyson Lee Bauer: Does that actually make your pricing strategy a little, I don't want to say easier, but a little more, you know, what you need to hit given that certainty on the inventory side? Or as we go into some of these seasonally weaker quarters, pushing through those price increases can be a challenge.
Howard Osler Woltz: Yes. I mean, I would say the answer to that is all of the above. In certain of our markets, the price will move as the price moves irrespective of what happens in the raw material markets. In other project-related business, where we have to give a price for a project that is some months out, the import pricing is actually a huge advantage for us. So it's a mixed bag. But keep in mind, the underlying reason that we went to the offshore markets was the inability to assure that we had availability domestically. And that's it.
Tyson Lee Bauer: And in this fourth quarter, when we look at that shipment volume sequentially in the 5.8% decline, it doesn't sound like demand was the issue for you at all. Was a lot of that just based upon production supply issues and not being able to run efficiently and meet timelines on shipments? So how much of the quarter in the shipment decline was really related to the production issue side as opposed to demand?
Howard Osler Woltz: I can't tell you how much, but the answer to your question is yes. Early in the quarter, we were operating short weeks at plants that were unable to get adequate quantities of raw materials.
Tyson Lee Bauer: And that situation has been resolved as we've moved into the current quarter?
Howard Osler Woltz: Yes. Both domestically, there's additional production as compared to our third quarter, and we took action offshore as we've talked about extensively.
Tyson Lee Bauer: Okay. And the last question for me. You talked about you don't know exactly what your products are used for as far as the final destination. We kind of were able to derive that when distribution centers were the hot item a few years back. That was tilt-up kind of construction. So you kind of have an idea based on what the specs and what you were shipping out. Do you have that ability to have some kind of inference on what goes into data centers? Is that a tilt-up type construction? Is that other that's more specific? Any clarity on that side that kind of have an idea of where or how much that is helping?
Howard Osler Woltz: Yes. We know. I mean, certainly, when demand is project-related, we can pinpoint it. When demand is more generic in nature, we can't necessarily pinpoint the end use. But the data center construction has been important to the company and will continue to be. And probably more than just data centers, our venture into the whole world of cast-in-place applications for our product is interesting and will be a source of growth for us. But it's not a segment of our business that we plan to disclose details on.
Tyson Lee Bauer: Okay. Thank you.
Breeka: Thank you. That is powerful if I want to ask any further questions. And we now have a follow-up from Julio Alberto Romero with Sidoti and Company.
Julio Alberto Romero: Hey. Thanks. Thanks for taking the follow-ups. Guys, just maybe speak a little more to demand from a geographic standpoint? What areas are you seeing strength compared to three months ago? And what areas maybe you're up? Relatively weaker?
Howard Osler Woltz: I don't know that there are any geographic trends that jump out at us. The legacy business of our supplying precasters is pretty steady over the entire country. The cast-in-place business that we do is so project-oriented that it could be in Miami today, Las Vegas tomorrow. So it's not dominated by any one geographic region. Neither of our product lines or activities is.
Julio Alberto Romero: Got it. One other question. It's about water infrastructure. I know you guys make the concrete pipe culverts that are used in water treatment facilities and sewer systems and other kind of related applications there. There are states that are making initiatives to address aging water infrastructure. Texas is talking about passing Prop four in November, which would add a lot of, you know, state taxes towards that initiative. Can you would that benefit you guys at all? Particularly the Prop four in Texas.
Howard Osler Woltz: Yeah. I think it's positive, Julio, to the extent that additional funding is available in those sorts of projects. There's gonna be plastic pipe. There's gonna be all kinds of non-concrete products that go into those applications, but there'll also be concrete pipe. There'll be box culverts and concrete-related things that definitely help Insteel. And I would tell you that I think that part of the recovery in demand that we've seen has been related to the funding provided by the Infrastructure Investment and Jobs Act, which is now five or six years old. But I think those funds are beginning to find their way into the market and translate into demand. Although, I would hasten to say that we can't track any particular shipment that we've made to an IIJA funding mechanism. But, nevertheless, something's responsible for the uptick that we're seeing, and I believe it's funding-related.
Julio Alberto Romero: To that last point, Howard, you mentioned IIJA funding is several years old. But you guys are basically just kind of beginning to see that push now, and then therefore, there is runway to when the IIJA funds there's a multiyear runway remaining as regards to the benefit of IIJA funding to Insteel's P&L?
Howard Osler Woltz: Yeah. I mean, I have no objective data to support my belief, Julio. I think the answer is yes. And if you go back to the Department of Transportation's comment on IIJA eight some years ago, they said, this is not a stimulus program. This is a new way we're considering funding infrastructure. And they acknowledge that the lead time is measured in years, not weeks or months, between the funding being available and translating into actual activity on job sites. And to the extent that that's the case, I think we're now seeing activity on job sites.
Julio Alberto Romero: Very helpful. Thanks very much.
Howard Osler Woltz: Okay. Thank you.
Breeka: Thank you. We currently have no further questions. Just one final reminder, if you'd like to register, please press star. I can confirm that does conclude the question and answer session here. And I would like to hand it back to the management team.
Howard Osler Woltz: Okay. We appreciate your interest in Insteel. Look forward to talking to you next quarter. And if you have questions, don't hesitate to follow up with us. Thank you.
Breeka: Thank you for dialing in for the Insteel Industries Fourth Quarter 2025 Earnings Call. Today's call has now concluded. Thank you all for your participation, and you may now disconnect.